Operator: My name is Julie and I will be your conference operator today. At this time, I would like to welcome everyone to the Consolidated Communications’ Third Quarter Earnings Conference Call. Please be advised that today’s conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I will now turn the call over to Jennifer Spaude, Senior Vice President of Investor Relations and Corporate Communications. Jennifer, you may begin your conference.
Jennifer Spaude: Thank you and good morning. I’d like to welcome everyone to Consolidated Communications third quarter 2021 earnings call. On the call today are Bob Udell, President and Chief Executive Officer and Steve Childers, our Chief Financial Officer. Bob’s comments today will highlight our strategic initiatives and progress with our fiber build plan. Steve will provide details on our third quarter financial performance and an update on the guidance for 2021. Following their prepared remarks, we will open the call up for questions. Before we proceed, I will remind you our earnings release, financial statement, earnings - and earnings presentation are all posted on the Investor Relations section of our website which can be found at ir.consolidated.com. Please review the safe harbor provisions on Slide 2 of this presentation. Today’s discussions include statements about expected future events and financial results that are forward-looking and subject to certain risks and uncertainties. A discussion of factors that may affect future results is contained in consolidated filings with the SEC. We will file our 10-Q on Friday. Today’s discussion will also include certain non-GAAP financial measures. Our earnings release includes a reconciliation of these measures to the nearest GAAP equivalent. I will now turn the call over to Bob Udell.
Bob Udell: Thank you, Jennifer. And good morning, everyone. The third quarter was another important step in our multi-year value creation fiber expansion plan. We achieved the tenth consecutive quarter of broadband year-over-year revenue growth. We upgraded 97,000 passings to fiber Gig capable service in the recent quarter and completed 219,000 upgrades year-to-date. We are on track to exceed the aggressive plan we set of 300,000 fiber upgrades for this year. These network upgrades are the path forward for growth and to pick the first phase of our transformation, which is just beginning to take shape. Today, I will provide an update on our fiber build plan starting on Slide 4. Our five-year plan is to upgrade 1.6 million or over 70% of our total passings by the end of 2025. You can see the plan progression of this build on Slide 4 and we plan to upgrade 400,000 passings next year in 2022. More than one million passings will be upgraded in Northern New England alone, where more than 90% of our markets have single or no competitor. We have a tremendous cost advantage, especially in New England where approximately 80% of our fiber is ariel and in close proximity to our existing fiber backbone facilities. We’re also leveraging our diverse footprint of suburban and rural markets with additional fiber to the prem build in Texas, California, Minnesota, Illinois, and Pennsylvania. This expansion supports each of our three customer channels, including consumer, revenue and carrier, giving us three bites of the revenue apple. In addition to the high percentage of aerial plant in New England, we have a number of fiber deployment advantages, including our incumbent position, our robust near net fiber networks and existing conduit capacity for varied facilities. We built 1700 miles of new fiber in the third quarter and more than 4,000 miles so far this year. We added more than 4,000 net one gig subscribers in the third quarter and have increased fiber subscribers by over 20% year-to-date. We are now hyper-focused on implementing our enhanced digital technology to aid the customer experience and ramp our sales and marketing efforts. Our fiber cohort penetration targets are outlined on Slide 5. We expect to achieve 4% cohort penetration 12 months after passings are upgraded in the quarter, 24% after 24 months and we expect to approach 33% after 36 months in the life of an individual cohort. As we’ve discussed in the past in some markets, we are confident we can achieve duopoly parity with penetration in the low 40% range over a five-year horizon. Our go-to-market strategy has been well-tested. And we have exciting news coming in mid-November related to a brand launch. With our new brand launch, we will offer an entirely transformed customer experience, which is designed to make broadband easy. We are offering superior gig symmetrical speeds, the strongest whole home, Mesh WiFi capabilities, the industry offers no data caps, no contracts and an extremely competitive price point for symmetrical gig internet. We have the capacity to install fiber services within three days of order. And we have a dedicated premium customer support channel measured by NPS scores for performance and productivity. We are significantly enhancing our digital sales engine in the next 30 days and rolling out an enhanced customer installation process. Our strategy is to win subscribers at the neighborhood level and provide a frictionless digital order experience. We’re also connecting with our customers at local events, through community meetings, both in-person and virtually. Now the investment we are making in our digital transformation projects will give us and our customers new intuitive self serve options making it easy to do business with us in the way customers want. These tools will also significantly enhance the customer experience throughout our service delivery process. In the third quarter, we experienced the highest number of online transactions in our history as we enabled new web-based order entry tools specifically for northern New England fiber customers. This digital flow through delivers end-to-end automation of all provisioning and order processing function, including messaging to customers regarding the status of their orders. This is a powerful combination of neighborhood levels, live interaction, coupled with the latest digital technology capable of delivering the fastest symmetrical speeds in market, but also a truly differentiated customer experience. All this is key to the value proposition of our new fiber services and there’s more to come. Along with our new digital storefront, we will roll out a new brand representing a superior fiber product and a transform customer experience giving customers exactly what they have been asking for from their broadband service provider. We are very excited to launch our new brand within the next 30 days and the differentiated customer experience, which it represents, which will enable us to become the broadband provider of choice. Now turning to our commercial and carrier channel. This business continues to be important part of our strategy as we leverage our fiber network investments to grow commercial and carrier data transport revenue. We’ve continued a long track record of growth in data revenue, which grew 1.1% year-over-year as we edge out our network. We actually grew on net buildings by roughly 1400 or 11% year-over-year and we completed nearly 200 on net extensions of our fiber network in the recent quarter. In fact, 90% of our new sales across our markets are on net, which correlates to higher margins, increased opportunity to upsell and a greater ability to ensure the best customer experience. Now, this ultimately contributes to customer satisfaction and strong retention. We see good sales activity around our ProConnect Unified Communications and SD-WAN services as leading business solutions. Our commercial go-to-market strategy leverages our expansive fiber network and our solutions based sales approach allowing us to become a trusted advisor to our customers while providing simple solutions to complex problems. We leverage three distinct commercial sales channels, including direct and agent as well as wholesale. Our carrier team is focused on the emerging 5G network opportunities across our regions and with all major carriers. The carrier product mix like commercial is weighted towards Ethernet and we are seeing more interest in carrier grade wave solutions as well. Our highly experienced sales team continues to capitalize on new Ethernet and backhaul growth opportunities while proactively managing second generation contracts and price compression in an increasingly competitive landscape. We continue to be optimistic about business recovery from the pandemic and are pleased with the receptiveness for customer in-person meetings and resulting projects. Our strong balance sheet enables us to support this channel and commit the capital needed to grow the business with the highest return. I’ll now turn the call over to Steve who will provide more insight on our third quarter financial results. Steve?
Steve Childers: Thanks, Bob. Good morning to everyone. The third quarter was another strong quarter and a step forward in our ongoing transformation of our fiber first build strategy. I’ll start by reviewing our overall financial results for the third quarter, and we’ll provide an update on our 2021 guidance. To begin, our third quarter highlights are on Slide 7 of our presentation. Operating revenue for the quarter totaled $318.6 million down 2.6% compared to a year ago. The decline in revenue was driven by erosion and legacy products for voice, video and network access, which are trending as expected and we’re partially offset by continued growth in our strategic revenues for data and transport and consumer broadband services. Adjusted EBITDA was $127.4 million in represents a 40% adjusted EBITDA margin for the quarter. Turning to our consumer channel, total consumer revenue was $125.4 million, down 2.4% compared to the year ago period and over 75% of the decline coming from our linear video services, which we’ll discuss in a moment. Consumer broadband revenue was $68.6 million, up approximately 1% sequentially and up 2.1% year-over-year. This represents the 10th consecutive quarter of year-over-year growth in broadband revenue. Broadband growth stemmed from speed and fiber upgrades combined with ARPU gains on new fiber services. This result in consumer data ARPU being $58.48, up approximately $4 or 7% over last year. We provided new metrics last quarter related our fiber passings and penetration rates. Our intent is to provide information to measure the progress as we upgraded the network to 70% or 2.7 million homes to 1 gig capable fiber services. We have nearly doubled our gig capable coverage in 2021, which is now 18% compared to 10% at the beginning of the year. Our consumer fiber data penetration at the end of 2020 is the starting point as we begin our five year build plan on January 1, 2021. So far this year, we have increased our gig subscriber base by 20% with approximately 11,000 net ads. And we’ve almost doubled our inventory with an 80% increase of gig fiber passings. At the end of the third quarter, our total fiber gig plus penetration is 13% and is measured on total inventory, including recently upgraded passings. The pace of the build will influence our fiber penetration as we start taking fiber broadband market share as our sales machine scales and our new brand and product offerings are fully launched. Our cost for passing details are outlined on Slide 5. Our year-to-date average cost for passing to $550 to $600, which includes edge access equipment, labor and fiber components. The cost capacity to Northern New England is around the $450 range based on the high amount of aerial fiber. The average cost to connect, which includes CPE labor and drop is approximately $700. The biggest variable of the cost of this drop – is the drop link, which varies by market and region. And I’ll provide an update on our CapEx guidance in just a moment. Consumer voice revenue was down 5.1% or 2.2 million. We continue to improve the attrition rate and consumer voice and while we continue to experience some erosion, we are doing a good job managing the rate of decline in this area. Video revenue is down $2.3 million or 12.4% on a standalone basis and does account for 75% of the decline consumer revenue. Our transition to over the top video services has enabled us to cap linear video deployments for an optimal TV video strategy and is actually created to margins and free cash flow. Now turning to commercial and carrier, our revenue totaled $144.3 million in the third quarter, down $2.1 million or 1.4%. Data and transport revenue was $91.1 million, up approximately 1.1% year-over-year. We are one of the few companies in our peer group to continue to show growth in data and transport. Catalyst for this growth are dedicated internet bandwidth SDWAN and our commercial VoIP solution, which we call ProConnect. Commercial voice revenue declined $2.7 million and or 6% due to access declines and the migration of customers to VoIP solutions, which rerecord data and transport. Network access revenues totaled $29.9 million down just over $2 million year-over-year. Special access declines were offset by increased universal service fund revenue. Subsidy revenue was $17.3 million, down 4.4% from a year ago, due to a mandated reduction in state funding from the Texas high cost funds. We are part of an appeal which was filed by the Texas Telephone Association on the recent ruling in an effort to restore funding to prior levels. Operating expenses were $206.6 million, down 1.4% from a year ago. Primary drivers of the change were network cost efficiencies, lower cost of video programming and the recognition of some property tax rebates. In September, we announced the sale of our non-core Ohio assets for approximately $26 million. In the third quarter, we recorded a non-cash pretax loss of $5.7 million on assets held for sale, which includes approximately $22 million of allocated goodwill. We now expect to closing this transaction in the first quarter of 2022. Additionally, we will continue to review our portfolio of assets for additional investment or monetization to ensure all assets have a long-term strategic fit. At September 30th, we recognize the non-cash loss of $2.2 million related to the increase in the fair value of the contingent payment right to Searchlight. Net interest expense for the third quarter was $43.2 million, an increase of $11.5 million from a year ago. The increase reflects our recapitalized balance sheet enabled with the initial Searchlight investment in global refinancing we completed last October, which allowed us to maturities, increase liquidity and reduced leverage. For the quarter non-cash interest in the Searchlight note, combined with the amortization deferred financing costs and the related discount totaled $10.9 million. We are benefiting from lower annualized cash costs as a result of our April bond offering and bank pricing were approximately $18 million, and also were able to eliminate that 1% of annual amortization on a term loan resulting in another $14 million in cash savings. Additionally, as you can see from the capital structure summary on Slide 9, we have no debt maturities until 2027. Our net debt leverage is 3.64 at September 30th, up slightly from Q2. At the end of the third quarter, we had over $500 million in liquidity and we believe we have a fully funded plan – build plan to return to growth. We are on track to secure the SEC approval on the final Searchlight investment by the end of the year; this will trigger Searchlight second investment of $75 million in the second stage closing of the Searchlight partnership. At this in state, they will hold 35% of our common equity, and $395 million in perpetual preferred stock plus accrued interest. Perform had close, we will have approximately $114 million outstanding total common shares. Cash distributions from the company’s wireless partnerships totaled $11.1 million in third quarter and our $33.2 million year-to-date compared to $32 million a year ago. Capital expenditures totaled $144.3 million in the third quarter and $339.5 million year-to-date. Our CapEx spend was approx – our Q3 CapEx spend was approximately $30 million higher than our plan as we proactively secured fiber materials and broadband CPE, given a supply chain challenges facing the industry and the broader economy. Over 40% of our total CapEx year-to-date is supporting our FttP build projects and our digital transformation technology. So let me sum up our third quarter results and the opportunity ahead. Operationally we were making excellent progress in our fiber build and our employees on pace to exceed our upgrades target of 300,000 fiber passings this year. We continue to achieve key strategic revenue growth in broadband and data transport services, which continues to provide stable business results and cash flow. We are changing the revenue and subscriber mix as we’re becoming a leading fiber provider and begin our transformation and return to revenue growth in 2023. I’ll close my comments out with an update on our full year guidance, which is outlined on Slide 12. Capital expenditures for the full year 2021 are now expected to be, to be in the range of $440 million to $460 million, an increase to the previous range of $400 million to $420 million. As I mentioned, we took proactive steps to cure CPE and fiber materials to support her build plan. We are affirming all other guidance measures with no changes. With that I’ll now fund turn the call back to Bob.
Bob Udell: Thank you, Steve. Well, let me say this. If this were a race and make no mistake it is, we’re in the first stage of it. There will be twist, turns and pit stops along the way, but we have an experienced team executing and delivering on this bold growth plan. I want to express my gratitude to our consolidated team for their dedication and resiliency. Their excitement is evident in our latest employee satisfaction survey and our positive results are a product of their hard work. Our focus right now is launching a superior fiber product with a differentiated customer experience. We have a large opportunity and numerous competitive advantages to becoming the broadband leader in the markets we serve. This business it’s an endurance sport, and we’re a proven team in it to win. Our strategy is clear as outlined on Slide 10. We’re accelerating our fiber build, extending fiber to over 70% of our addressable locations, and I think we’ll exceed that. We’re leveraging that fiber to grow broadband revenue across three customer groups, giving us three chances to win. And we’re redefining the broadband experience with new friendly ways to serve our customers under a new brand. Our path forward is all about building long-term sustainability and value for investors. Our customers, and our employees, and our five-year plan is fully funded. And we have the support from an experienced strategic partner in Searchlight. This is a fantastic time to be in our industry. With that Julie, we’ll now take questions.
Operator: [Operator Instructions] Your first question comes from the line of Jason Kim with Goldman Sachs. The line is open.
Jason Kim: Thank you, and good morning. What’s the customer mix in terms of the net ads coming from your existing DSL customers versus new customer relationship? And regarding consumer broadband revenue it’s nice to see the continue year-over-year growth, but the rate of growth sequentially was a little bit slower in third quarter versus what you saw sequential growth in second quarter, anything to note there?
Bob Udell: Yes. I’ll take the first part of that, and Steve will take the second. The mix started out early with more upgrades as we were iterating on our go-to-market strategy and installation process. So that’s been a good process for us. First using upgrades to get experience with the development of all the tools that were – that are coming together with the launch of our new brand. So I would say initially it was 60/40, 60% new, 40% upgrades and we’re now in the 80/20 range as we exit third quarter. Steve, you want to talk about ARPU and revenue?
Steve Childers: Yes. So Jason, on the revenue growth which I think was your question. You’re right, we were probably three, excuse me, about 3.5% Q2 to Q2 last year and we’re 2.1% now, I think that’s just a reflection of how aggressive or it kind of where the buildup for our brand launch. We’re not; we’re kind of muted on marketing dollars for new ads and things like that. So I think it is kind of a play where we’re at on how aggressive we’re being on the marketing and probably the timing is maybe some pricing increases in Q2 as well.
Jason Kim: That’s helpful. And then we’re seeing a lot more companies expanding their fiber expansion plans. So not just within their existing footprint, but filling out nearby towns, if the economics are attractive. Is that something you would consider, and if so, how is the framed opportunity for consolidated and as well as how to pay for it?
Bob Udell: Yes. The way that we look at that is like we do any other build plan. We look at the return and if it’s low-to-mid teens, and remember our core network is closer to subscribers already. As we went through the RDOF analysis, for example, we found towns that we could build without RDOF that were attractive. And so we’re doing some of that, that’s in the 600 that we added over the last 12 months to our plan, but I’d say a small percentage of it. So at this stage we’re being opportunistic. We’re looking at our return models on a area-by-area basis, working with communities on public/private partnerships to offset when the build isn’t attractive from a private funding perspective, and extending or edging out. So we’re maintaining some capacity in our plan to embrace those opportunities as they become available or obvious to us.
Jason Kim: Great. Thank you very much.
Operator: Your next question comes from the line of Greg Williams with Cowen and Company. Your line is open.
Greg Williams: Great. Thank you for taking my questions. I have two questions. One is just on the increased CapEx guide you mentioned that you’re seeing or you’re anticipating supply chain concerns and maybe you’re building fiber components and buying CPE equipment. Can you just help me understand the situation, are you seeing supply constraints or are you anticipating it? And does that essentially mean that you are warehousing say CPE equipment? And that could essentially mean you’re pulling forward 2022 CapEx to warehouses in 2021. The second question is just on margin trajectory. It’s nice to you get back to the 40% mark even with the investments in the business. And it sounds like we expect some exciting stuff in a couple weeks, which should help margins automation and simplification. So how should I think about the margin through 2022? I know you’re not giving guidance, but we’re going to say cash too drop off in the first quarter. I imagine that’s where you hit the bottom of your margin percent and then sort of grind back, is that the way the right way to think about it? Thank you.
Bob Udell: Yes, I’ll take the first part of that, Greg. And good morning. And Steve again will take the second, I think. With regards to the supply chain, you’re reading that right. We have accelerated fiber acquisition and we’re putting it up fast to mark our places on poles and in the ground. So, we want to be first to upgrade any markets that we think long-term might get attention from the cable competitor or anyone else. So, we’re doing well on the physical plant side and with the change and upgrade in our customer experience, we found ourselves in that inflection point between WiFi5 and WiFi6. And so, we’ve been somewhat cautious and concerned about chip shortages and working closely with our suppliers on WiFi6 gear and buying additional WiFi5 gear to hedge as production commitment slipped and delivery slipped. So, I would say, yes, you are seeing inventory grow probably in the $30 million to $40 million range. And you’re seeing us accelerate some of that, that would have been in 2022. But I think we’ll be doing [indiscernible] for 2023, because I don’t see the supply chain issue on the chip set side being resolved worldwide in the near-term future. Steve, you what to take the second part of that?
Steve Childers: Yes, sure. Greg, thanks for the question. Yes, so I think the way you framed your question on margins 2022 with the CAF drop off being the low point, I think, you’re exactly right. And just to be clear, I know we’ve said this on every earnings call and it’s very public, but to your point we will be taking a step down in CAF 2 revenue starting January 1 as we transition to [indiscernible] we had $48 million run rate basis. This year, we stepped down to about $6 million. That decline $42 million if you think about us being at the midpoint of the guidance for this year, maybe that’s your starting point going into 2022, assuming how well we managed the rest of the business and execute on the fiber growth plan across the rest of the customer channels. But I do agree, and the drop off in the RDOF, in the CAF and the subsidy money, I mean, we’re not about terminal value on RDOF funding, right? We’re building this for the future and the build plan reflects what we needed to do to step up to make up on RDOF. I think Bob talked about the increase in 600,000 homes since we announced a Searchlight partnership on the build out. So that’s where we’re trying to make that up. But to your point, I think, 2022 we will take a step down on revenue and margins. And then we will expect to start showing sequential growth sometime in 2022, get the full year growth in 2023. And we will see margin expansion to the high 40s, low 50s in the five-year build plan.
Greg Williams: Great color. Thank you.
Operator: Your next question comes from the line of Michael Rollins with Citi. Your line is open.
Michael Rollins: Thanks. And good morning. Just a follow-up, in addition to the comments on CAF 2, are there some other tailwinds or headwinds that investors should be mindful of in terms of the outlook for 2022 EBITDA? And then, just [indiscernible] on the Searchlight transaction on Slide 15 it refers to the $395.5 million, is that the balance at the close or has that been picking to some degree over the past number of months? Just want to appreciate what that like entry number is once everything is closed with this final tranche. Thanks.
Steve Childers: So Mike, I’ll take the second question and Bob can take the first one on the cap to and tailwind. Yes. So with respect to the note, the – I guess the way to think about it is they originally contributed – $3 million. The ultimate balance are kind of discounted from 4.25% based on cost of capital is the 3.95%. So the 3.95% will have, we have been picking that since the set back amount is doing the math in a 9% coupon to get to 3.95% plus a year of picked interest on top of it. Does that make sense?
Michael Rollins: Yes. So it’s another way it has been picking over roughly the past year. So it’s the 3.95% plus whatever that tick amount is over that period.
Steve Childers: Correct.
Michael Rollins: That’s helpful. Thank you.
Bob Udell: Okay. And the second part related to tailwinds, I think the infrastructure funding is on the margins, some really great tailwinds. We’ve got a great engine for maximizing the public, private partnerships that are possible, and we’ve been close to Secretary Raimondo who is working through the NTIA process. We’re allocating $40 billion of the infrastructure plan, assuming it gets voted into law, and we’re assuming that that’s likely to happen at some stage. And in the states, we’re getting very close to all the major states that, that we offer service in from Washington state through Northern New England and Texas, Illinois, Minnesota on their broadband offices to ensure we’re best positioned to maximize that opportunity. So I think you’ll see us announce some more of those partnerships in 2022, some more significant than others. And that will you accelerator increase are penetrations because those are like built in marketing engines when you have the town, the city or the county, pitching the broadband uplift that that effort will provide for the economy and the local value of quality of life.
Michael Rollins: If I could just follow with one other question, I was just noticing in your commentary and the slides, the growth of on net buildings. I think it was from about 13,200 to about 14,600 this past quarter. And I’m just curious, like, could you help us conceptualize what the total addressable market for buildings are in your territory? And how this growth of buildings can relate to an expanded addressable market for commercial revenue?
Bob Udell: Yes. I can’t give you a specific number. Top of mind, I’m looking in my notes, but I would tell you that in competitive markets, we’re getting more than our fair share by all assessment that we’ve done historically. And that’s usually in the 20% share range across what we call our metals and that’s divided by size of customer. So we’ve got a very good channel management strategy, and we only go into a building when we seek, it goes through a capital committee process that Steve Chairs, our CFO Chairs. And so it’s quite disciplined. There’s more addressable markets that than we’ve tapped. And that’s why we show perpetual growth on data and transport across commercial and carrier. So we can maybe size that for you in the future, but top of mind, I don’t think I can.
Michael Rollins: Thanks.
Operator: [Operator Instructions] Your next question comes from the line of Eric Luebchow with Wells Fargo. Your line is open.
Eric Luebchow: Hey, thanks for taking the question. Just wanted to go back to some of the supply chain commentary. It’s good to see your build costs have remained in line right now. Have you seen any changes in the labor market in terms of either labor availability or labor costs and maybe you could just talk through how you’re managing those items to keep to build on time and on budget.
Bob Udell: Yes. That’s a great question, Eric. What we’re seeing is, some tension around fiber splicers and engineers and some on the door to door direct sales front. And some of it’s been COVID related on the sales front, I think. But the other has been just demand for fiber engineers and splicers. And so with our most recent contract in Northern New England, which was really a partnership with the union, we’re adding roughly 80 to 100 technicians that, many of which will be fiber splicers. And we’re – we have our own training school that we’ve set up. And so we’re able to have a predictable cost because of – it being an employee base. And yet we have a very good unit pricing arrangement with our contractors. And so we’re watching carefully those agreements, making sure that, where we have to, we supplement them with some additional incentive for close out of projects. It’s not moving the needles significantly at this stage. But it is a couple points of cost increase on the capital side. But it hasn’t taken us out of our range of per unit at this stage. But it’s on our watch list. So I’d say, it’s engineers and splicers on the build side and on the go to market side, it’s some tension on direct sales resources.
Eric Luebchow: Got it. Thanks for that. Just one more for me, the small asset sale you did in Ohio. So just given the amount of private capital we’ve seen looking to get into the space today. Maybe you could talk about other geographies, other product sets that you would consider non-core and would be willing to monetize if the circumstances warranted.
Bob Udell: Yes. I think like in the past, I’m hesitant to give specifics on that, because the more we evaluate, the more we’re willing to build, if it fits a reasonable return. So we’re still in conversation with people on other geographies and if it’s remote and not necessarily in close proximity with some of the larger states that we’ve already announced, we’re building in. Then it’s probably potential for a spinoff, if somebody can service it faster than we’re going to get to it. And those discussions continue, but there’s a certain cadence necessary, when we have so much focus on the build plan on the go to market strategy on executing with the new service experience that we’re only going to process those things so fast or so many at one time. And so there’s probably, some good queued up interest and we’re going to work through them in a systematic way and probably have more to announce in 2022.
Eric Luebchow: Great. Thanks for the questions.
Operator: [Operator Instructions] There are no further questions at this time. I would like to turn the call back over to Mr. Bob Udell.
Bob Udell: Thanks, Julie. And thank you all for your interest in our company and for joining our call today. We look forward to updating you on Q4 at our next call. Have a great day.
Operator: This concludes today’s conference call. You may now disconnect.